Operator: Thank you for standing by, and welcome to the PropertyGuru Group Third Quarter 2023 Earnings Conference Call. [Operator Instructions]. As a reminder, today's program will be recorded. If anyone objects, please disconnect now. Now let me introduce Nat Otis, VP of Investor Relations. Mr. Otis, please go ahead.
Nat Otis: Good morning and good evening. Welcome to PropertyGuru Group's Third Quarter 2023 Earnings Conference Call. On the call today are Hari Krishnan, CEO and Managing Director; and Joe Dische, CFO. Before we get started, a few reminders. Firstly, our results are available in the earnings release that can be found in the Investors section of our website. Secondly, today's webcast is being recorded. Replay along with a transcript will also be available on the Investors section of our website. Thirdly, we'll be making forward-looking statements, including, but not limited to, statements regarding our future results and expectations for the business. These statements are neither promises nor guarantees and involve risk and uncertainties that may cause actual results to vary materially. Please refer to our earnings release and SEC filings for more information regarding risk factors. Forward-looking statements are based on current expectations, and the company is not obliged to update them except as required by law. Fourthly, this call will also contain non-IFRS financial measures. For a reconciliation of non-IFRS financial measures to the most directly comparable IFRS metric, please see our earnings press release. Lastly, all dollar references are in Singapore dollars unless otherwise stated. With that, let me turn the call over to Hari.
Hari Krishnan: Thank you for joining us today for our third quarter 2023 earnings conference call. PropertyGuru has demonstrated resiliency with another period of double-digit revenue growth and the second consecutive quarter of robust double-digit adjusted EBITDA margins. This growth is a testament to our focused investments and effective execution against the backdrop of weakened consumer confidence and a slow property market in Vietnam and uncertain economic conditions in Malaysia. We recognize the challenges and uncertainties in predicting market trends. Our focus, however, remains on creating value for our consumers and customers and helping them make confident property decisions. We will continue to execute our operating strategy, delivering results that underscore the value of our business to all stakeholders and positioning ourselves to capitalize when markets stabilize. Let me walk you through some of the highlights from this quarter, starting with our business in Singapore. In Singapore, we are seeing steady adoption of our new products, even as the demand for property moderates due to rising interest rates and cost of living challenges, which are impacting the speed of decision-making for buyers. Our Singapore demand index showed a 14% decrease from the second quarter, while both supply and transaction activities remained consistent with the previous quarter. Continuing a trend observed over the past several quarters, construction and real estate services were the top performing subsectors in the Singapore economy in the third quarter according to preliminary GDP results released by the Ministry of Trade and Industry last month. The sustained level of construction activity is a positive indicator for the coming quarters. Finally, it is important to highlight that despite various cooling measures implemented by the government, the Singaporean property market has maintained its stability. In Malaysia, the quarter experienced a slowdown in consumer demand, primarily due to higher interest rates and a lack of healthy wage inflation. The Malaysian sales demand index witnessed a 6% decline compared to the previous quarter, attributed to the highest interest rates since 2020. Interestingly, our property price index still saw a 1.5% increase from the second quarter, even as more supply entered the market. These factors collectively led to a reduction in consumer buying. Additionally, Malaysia faced significant challenges from local currency depreciation. In response, the government is proactively exploring strategies to stimulate GDP growth to the 4% to 5% range in 2024 and mitigate further currency volatility. Despite these challenges, our optimism about Malaysia's long-term prospects remain strong due to the success of both the PropertyGuru and iProperty brands and the fundamental desire for housing in the country. We will continue to build out our suite of market defining offerings and navigate near-term market issues. In Vietnam, the near-term outlook remains unchanged as the government's efforts to boost consumer confidence and stimulate the market are showing limited immediate impact. However, last week, the Vietnamese government highlighted the importance of lowering interest rates in 2024 to enhance credit accessibility for individuals and businesses alike. Additionally, the government is committed to focus resources to achieve GDP growth of 6% to 6.5% in 2024 while also keeping inflation in check. Early signs are encouraging, as GDP growth did accelerate from Q2 to Q3 2023. At PropertyGuru, we are actively adapting our strategy for the Vietnam market in anticipation of these evolving conditions. Our recent initiatives include the appointment of a new country manager, restructuring the team and implementation of a sales transformation strategy. This strategy is designed to enhance customer service and drive revenue growth through innovative measures like dynamic pricing and reduced product discounting. Lastly, it's important to recognize Vietnam's enduring long-term prospects. These include a youthful demographic, increasing urbanization, significant investments in infrastructure and an economy poised to benefit from the country's stature as an emerging alternative base for global manufacturing output. We navigate the changing economic landscape of Southeast Asia, while continuously innovating and leveraging technology. This approach is designed to create value for our stakeholders and enhance operational efficiency. Central to our strategy is the use of generative AI and machine learning. Internally, the adoption of GitHub copilot by our engineering team has been remarkable with over 95% of engineers at PropertyGuru actively utilizing copilot to increase individual productivity and enhance code writing. Last quarter, we introduced GuruPicks, a personalized feed of property listings that employs machine learning to constantly improve its algorithms. This quarter, we saw early benefits as consumer click-through rates significantly increased following further refinement of the algorithm relevancy. Furthermore, machine learning powers PropertyGuru's listing description generator, aiding agents in creating more effective property listings. We have also made advancements in lead management introduced in Singapore last quarter. By the end of the third quarter, over 60% of active Singapore agents had engaged with lead management with nearly half utilizing it for direct lead contact. Moving to fintech. In July, we launched our in-principle approval or IPA service. We are now the first in the market to provide a solution that helps users with their digital mortgage pre approval process. This self-serve product is bank-agnostic and enables consumers to directly select their preferred bank, fill an application form online and upload the necessary forms and documents. Once finished, we complete a simple check before sending them to the financial institution. This is the type of smart digital experience that people are asking for. And as a testament to its value, since its launch, the IPA option has been chosen by 80% of online consumers on our mortgage platform, PropertyGuru Finance. In other exciting developments, our data and software solutions business has made significant strides. In September, we rolled out 5 modules in our agent CRM system, AgentNet that combined transaction information and proprietary supply and demand data from DataSense. The modules are available to all Singaporean property agents as a part of their subscriptions and will help strengthen our agents market intelligence capabilities as well as provide an additional upsell opportunity for PropertyGuru. Also in DataSense this quarter, we launched the foreign demand analytics module. This tool provides customers with detailed insights into property demand trends by country of origin. In effect, it helps agents more efficiently and effectively service foreign buyers while also giving our developer institutional investor and governmental customers a window into key marketplace trends. This quarter marked significant progress for our group, showcasing solid strides in various business segments, product launches and adoption along with an increase in operating leverage and solid revenue growth. While we faced challenges in Vietnam and Malaysia, the overall performance this quarter has been encouraging, fueling our optimism for the future. Let me conclude by emphasizing our pride in resiliently navigating through variable market conditions. We are well positioned in what is expected to be one of the fastest-growing regions over the next decade and beyond. We continue to believe in the fundamental opportunities in our core markets and are committed to future growth and profitability anchored around our vision to power communities to live, work and thrive in tomorrow cities. I will now hand the call over to Joe to walk you through our financials.
Joe Dische: Thanks, Hari. We are pleased with the results this quarter as PropertyGuru revenue grew 13% to $39 million despite challenging conditions in a number of our core markets. In addition to double-digit revenue growth and double-digit adjusted EBITDA margin, we were net income positive in the quarter as well as net cash flow positive year-to-date. Excluding Vietnam, which continues to face macro and consumer confidence headwinds, revenue was up a solid 23% from the third quarter of last year. While the top line was clearly a positive for us again this quarter, our leveraging of technology and automation as well as active cost management continues to deliver outstanding results as we look to consistently grow adjusted EBITDA. Our adjusted EBITDA grew to $5 million from $2 million in the prior year quarter with our margin more than doubling from 6% to 13%. We are steadfast in our approach to profitable growth while navigating market uncertainty and will focus our investments and hire selectively with an eye to both current conditions and future opportunity. As a result, while expenses were up only 4% in the quarter, our [venue] revenue grew 13%, resulting in an incremental revenue to adjusted EBITDA conversion rate of almost 70%. I would also add that we had positive adjusted EBITDA in each one of our marketplaces this quarter, including Vietnam, underscoring the value we see in effectively balancing cost with revenue overall and in each of our core markets. In Singapore, revenue was $23 million, up 24% from the prior year quarter, and our adjusted EBITDA increased to $17 million for a 77% margin. Our agent base grew again this quarter, and we now have over 16,300 agents with a customer renewal rate of 85%. Our quarterly average revenue per agent or ARPA, was up 23% from the prior year quarter to almost $1,300. In addition, reflecting the increased value our customers place on our products and services as well as greater adoption rates of new offerings, we had a record amount of prime credits purchased in the quarter. Prime Credit is the most expensive credits we offer. Also in the third quarter, we had the largest percentage of agents in our 2 higher subscription categories since our listing. The increased product adoption and good expense management helped us deliver another quarter of outstanding growth and adjusted EBITDA margin strength. In Malaysia, revenue was $7 million, up 5% from the prior year quarter, and our adjusted EBITDA increased from $4 million -- to $4 million from $3 million despite macro headwinds and currency fluctuations. The Malaysian Ringgit depreciated 7% year-on-year. On a local currency basis, our revenue was actually up 11% in the quarter. As Hari mentioned, we anticipate proactive measures by the government which will help alleviate these ForEx issues as we move into 2024. The adjusted EBITDA margin grew to 55% this quarter from 49% in the third quarter of 2022 as we continue to focus on improving adjusted EBITDA even as we navigate market and currency headwinds. Consumer sentiment remains depressed in Vietnam following government anticorruption activity and tightened credit to combat inflation with revenue down 33% from the third quarter of 2022. Listing activity is the main driver with a number of listings down 7% from the second quarter and 41% from the prior year quarter, a 16% year-on-year increase in our average revenue per listing or ARPL helped to partially offset the reduction in listings. Adjusted EBITDA was slightly positive in the quarter, giving us a 6% adjusted EBITDA margin. Finally, Fintech and Data Services combined revenue was up 23% year-on-year and adjusted EBITDA was a loss of $2 million. These businesses are areas of sustained investment for us as we build out a suite of innovative data-driven products to help companies and individuals alike make confident property-related decisions while also making the mortgage application and financing process much more consumer friendly. We continue to be at the forefront of bringing market-changing data and financial solutions to Southeast Asia and understand their future value in further transforming this region once macroeconomic headwinds subside. On the balance sheet, we ended the quarter with $317 million in cash and a net cash flow positive for the first 9 months of 2023. We are revising our full year 2023 revenue outlook to between $148 million and $152 million taking into account a slow recovery in Vietnam for the remainder of 2023 and macro uncertainty in Malaysia. However, we are maintaining our full year 2023 adjusted EBITDA outlook of between $11 million and $15 million as our cost control efforts continue to be very effective. We remain positive on our core Southeast Asian marketplaces and the prospects for near-term recovery in both Vietnam and Malaysia as well as long-term property ownership demographics in Southeast Asia. In conclusion, despite challenging market conditions, we are pleased with our ability to deliver another quarter of double-digit growth and double-digit adjusted EBITDA margin. Our focused investments and targeted cost control efforts continue to yield measurable results. Longer term, we understand the importance of continuing to create innovative technology for property seekers and businesses while leveraging automation, machine learning and prudent expense management to deliver these market-changing products with consistent growth and sustained improvement in adjusted EBITDA margin. I would like to thank all our Gurus for their hard work and commitment to PropertyGuru and thank our customers for their ongoing support. I will now turn the call over for questions. Operator, we're ready for our first question.
Operator: Okay. Thanks, Joe. [Operator Instructions] Our first question is going to be from Nick Jones with JMP Securities.
Nick Jones: Great. Maybe to start with the updated top line guidance, how should we think about the persistence of some of these industry or macro trends as we look into next year, we're kind of seeing, I guess, expecting kind of a big decel in year-over-year growth. I guess how does that inform as to what the growth might look like next year? And then I have a follow-up on costs.
Hari Krishnan: Thanks, Nick. Listen, I think if I take each of our core markets in turn, I think the Singapore market, in fact, we know the Singapore market continues to perform well. More and more supplies coming online. I referenced the growth in the construction and real estate services sectors. We're seeing the number of rental listings increase by as much as 11% quarter-over-quarter in Q3. So that's a good indication of the -- good amount of supply continue to come online. Transactions have moderated. But keep in mind, they have moderated from a frothy high which was very much driven by a supply constraint, if you recall. So I'd say, overall, the Singapore market continues to look healthy. Decision times for consumers are a little longer given economic conditions, that's understandable. But that's obviously good for the marketplace as people spend more time there doing their research, agency need to compete more and such. So I think in the short term, no concerns and actually even in the medium term, no concerns for Singapore. In Malaysia, as I mentioned, there's a bit of a disconnect happening there where you're seeing more supply come online but a lot of the supply that's coming online is new projects. And as a result, the asking prices tend to be pretty high, but they've already booked in the cost of the land, they turn to mark it up. But in reality, though, demand is dropping because affordability is challenged by the lack of wage inflation and price inflation and things. So I think there is a little bit of a short to medium-term challenge in Malaysia. We will continue to navigate that, and we're obviously calibrating our investments accordingly. But obviously, market share is still very strong with both PropertyGuru and iProperty, very high conviction in that market. And then Vietnam as both Joe and I referenced, it continues to be slow recovery in terms of consumer expectations that's reflected in the outlook, and I'll let Joe sort of talk about it in a second. But I think what we are seeing is when you look at GDP growth itself, it improved from about a little over 4% in Q2 to a little over 5% in Q3. The government's official line is somewhere between 6% to 6.5% growth next year. That will make it one of the fastest-growing economies in the world. So I think that is driven by the creation of jobs, urbanization and all of that. And so going back to the central thesis, they're going to have to fix that thing. They're talking about interest rate cuts to increase affordability and such. So -- but it's clearly not going to happen this year, we're projecting it's going to happen a little later into 2024. Maybe I'll kick it to Joe to see if there are certain parts of that question I didn't answer.
Joe Dische: Yes. Thanks, Hari. I mean I think just to look at revenue, I think broadly, we're pretty bullish about next year. I think we're going to see as Hari mentioned, sort of market recovery, where we've had some challenges and then continuing good performance where we've had some pretty solid performance this year. So we're feeling very positive. I think on the cost side, this quarter, and in fact, sort of this year so far has seen really good conversion from incremental revenue into EBITDA, which I think is excellent, business reacted well to a slightly more challenging environment. There's been focused investment, selective hiring has been our sort of motto, and we've done a very good job. And into next year, we would expect to see those margins grow again overall. However, we will continue to invest in the early stage businesses in data, in FinTech, et cetera. So I think continued investment there, we also focus on Thailand. But overall, you'll see improving leverage from the business in total and improving margins.
Nick Jones: Great. And maybe to follow up on the cost side, it's evidenced in the guide. You've been able to kind of reserve profitability. To the extent that the macro and industry conditions may be worsen. And philosophically, how are you thinking about investments maybe in generative AI and machine learning, which is a very hot topic today particularly kind of within the Proptech universe. How are you kind of philosophically thinking about preserving margins and making these types of investments to build your kind of the competitive moat in the markets you're in?
Hari Krishnan: I think it's a great question, Nick. The fact of that is we are going to continue investing in generative AI and machine learning. They are both in consumer products, as I referenced, 95% of engineers are using GitHub copilot, you're seeing improving code quality, you're seeing improving product performance, improving engineering team productivity. So there's a financial element to it, of course, as well. But I think fundamentally, though, we are in markets which are in high growth. This is an economic cycle that we're going through. This is not the first cycle that we have gone through. So this company in this business is familiar with knowing how to navigate these so I think we will calibrate it based on that. So to your point, if it were to get significantly worse for some reason, that we aren't seeing right now, then we would calibrate investments accordingly. But I think in those sectors, some of those investments take a longer time to see the benefit. And so we're not going to throttle investments in things like generative AI and machine learning.
Operator: Our next question is going to come from Nielson Chang [ph] with Citi.
Unidentified Analyst: Congrats on a solid quarter. So my first question is regarding the industry recovery into next year. So we just discussed different industry overhangs and some signs of recovery. And I just wonder when would management expect to see these signs into next year? Is it coming early in first half? Or it will be likely take more time for the industry to digest those sites in later part of the year?
Hari Krishnan: Thanks for the question, Nelson. I think the real market that we're all looking at and perhaps the center one you're referencing is Vietnam. And I think in Vietnam, we are talking closer to the middle of the year and into the second half of the year where we anticipate a full recovery and a trend line up. And we hope to see it sooner. But frankly, what we've seen through 2023 is we do expect that it will take a little longer for that confidence to come back. It's encouraging to hear the government talk about dropping interest rates further. It's great to see actual GDP growth accelerate already in Q3. So that's very encouraging, and it's very much our online -- sorry, in line with what they're projecting for 2024. So that's very encouraging. I think when it comes to Malaysia, good supply coming online is encouraging. But there is a price disconnection between the asking price and the willingness to pay for consumers. So I think that needs to be bridged. And that is a little bit harder to call, to be honest. It's a market that's healthy. It's not fundamentally broken, but there is a disconnection between supply and demand pricing for now. And as I referenced, Singapore continues to be very healthy going into 2024. There is a slowdown in transactions speed as well as transaction volume, that's evident, but you are seeing more rental listings coming online, more supply, more construction. So overall, when you look at the group overall, listen, it's going to be -- the world is going through an economic slowdown. So we are also subject to that. We do believe Southeast Asia being the younger economies, one of the highest growing regions in the world. It should recover faster, and we are calibrating our investments accordingly. But by having these strong controls on the cost measures, we have confidence that we can increase investment as we see some of those green shoots come in. So pretty high conviction that we can drive profitability in the short to medium term and then return to growth with profitability as the economy recovers.
Joe Dische: And sorry, just to add. I think just on the Vietnam side, obviously, our business model is different there. So historically, what we've seen is when things have bounced back. You've seen sort of because there's no subscriptions, you do see a bounce back in activity and, therefore, revenue quite quickly as well. So we saw that during COVID, where the number of listings sort of between August in 2021 and December really sort up lifted by about 4x. And that obviously directly impacted revenue. We saw a big bounce back. So I think it's always a challenging in Vietnam because the business model when there's a downturn is impacted unlike the other markets where the subscriptions. But I think once that -- to Hari's point, once it does turn, and it -- and we start to get some confidence back in, you'll see revenue bounce back quickly also.
Unidentified Analyst: That's very helpful. And then my second question is regarding the competitive landscape. I just want in addition to our leading market position in the Southeast Asian market. Just wondering if you see any of that potential threat from the new market entrants especially some new nice style platform trying to penetrate into the Southeast Asian market. So any potential change in the competitive landscape that you are going to see into next year?
Hari Krishnan: And listen, I think the honest truth is we've been around for about 16 years. And every year, there are new companies that enter the property sector, and there are some, unfortunately, who shut down. The pace of new entrants has slowed down given economic conditions, et cetera. And I think also, it's harder to secure financing in the venture space. So I think there has been a little bit of a slowdown in the short term. We do anticipate that as the economy recovers, more entrants will come, more innovative business models. We continue to track them to see if there's interesting opportunities there. As you might recall, we saw an interesting start-up in an adjacency that was doing work in home services in Sendhelper. And after partnering with them for a number of years, we obviously decided to acquire that business. So I think we continue to track some of these to see what's happening. But in terms of direct threats to our core marketplace businesses right now, we don't see anything. But our strong investments in generative AI, in particular, and in the data business are indications of us going deeper into the sector, deeper into our relationship with consumers and with customers to ensure that as generative AI becomes sort of consistent with the experience that consumers have when it comes to discovery of everything. PropertyGuru would have made commensurate investments, and we'll be ready for that next wave of growth as well. So short term, not seeing any specific brands or names are a big threat, but fully anticipate that there will continue to be interesting and innovative companies that enter this space.
Unidentified Analyst: And then my last question is regarding the cash position. So with our rich cash position and positive cash flow generating ability. Can management share your view on use of cash into next year in terms of capital allocation, shareholder return and also investment?
Joe Dische: Sure. Yes, thanks for the question. As you're aware, entering towards more sort of positive cash flows, the funds we have is there for M&A, which is what we -- the store we set out when we listed the business and raised the money. I think we've built a very strong corp dev team. We've done a lot of work looking at sort of potential acquisitions. Our focus is kind of where we play at the moment. So data, Fintech, home services, put it 3 sort of focus areas. I think the challenge we found is finding sort of more, I guess, development businesses within the core markets we operate in. Our preference is to purchase larger businesses that are probably sort of easy to transact and offer greater returns. And we've really found it quite challenging to find those in our core markets. So we are broadening our search, as we've said before, and looking more widely across the region and in those areas and the like. It's been interesting. And I think we found a number of interesting opportunities, and we'll obviously report back to the market should any of those proceed. I mean I would also add that pricing has been challenging. People in the private markets are still sort of perhaps behind the public markets in terms of the valuation sort of changes. But that's certainly sort of moderating now, and we're starting to see some more alignment which obviously makes it much easier to sort of perform a transaction.
Operator: Okay. [Operator Instructions] Seeing no more questions, we'll hand it back to Hari to finish.
Hari Krishnan: I'd like to thank everyone for joining us for this conference call, and we look forward to speaking to you again soon in another quarter. Thank you so much. Bye, bye.